Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Williams-Sonoma Inc. First Quarter 2010 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Steve Nelson, Director of Investor Relations, to discuss non-GAAP measures and forward-looking statements.
Stephen Nelson: Good morning. This morning's conference call should be considered in conjunction with the press release that we issued earlier today. Our press release and this call contain non-GAAP financial measures that exclude the impact of unusual business events. These non-GAAP financial measures are provided to facilitate meaningful year-over-year comparisons. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures, and an explanation of why these non-GAAP financial measures are useful are discussed in Exhibit 1 of the press release. The forward-looking statements included in this morning's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements address the financial condition, results of operations, business initiatives, guidance, growth plans and prospects of the company in 2010 and beyond, and are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. Please refer to the company's current press releases and SEC filings for more information on these risks and uncertainties. The company undertakes no obligation to update or revise any forward-looking statements to reflect circumstances or events that may arise after this call. I will now turn the conference call over to Howard Lester, our Chairman and Chief Executive Officer.
W. Lester: Good morning, and thank you for joining us. With me today is Laura Alber, our next CEO; Pat Connolly, our Chief Marketing Officer; and Sharon McCollam, our Chief Operating and Chief Financial Officer. I'd like to begin today by sharing with you my perspective on the strength of our operating results in the first quarter, and then I'll turn the call over to Sharon and Laura for more details on the quarter and the balance of the year. But before I begin, I'd like to take a moment to thank all of you who have supported us here at Williams-Sonoma over the past 30 years. As I approach my retirement next week, I could not help but reflect on the contribution that so many have made to our collective success. First and foremost, I want to thank our Associates, who have dedicated their careers to building our dreams and serving our customers. I'd also like to thank our supply chain partners, our landlords and our service providers for all they've contributed as well. And then, of course, there all of you, our shareholders. What's amazing to me now is that as much as it has been a joy and an honor to lead this great company, I'm finding equal joy in watching the people who have been crucial to building it over the past decades take the helm. While it is so bittersweet to step away, I'm doing so at a time when our management team, led by Laura, has never been stronger, and our future has never been brighter. There's no better evidence of this than our first quarter results. Our revenue growth was 17%, non-GAAP diluted earnings per share increased $0.37 to $0.23 versus a $0.14 loss last year. This is our highest first quarter non-GAAP diluted EPS in history, and our operating margin is at a peak levels as well. It represents what's possible when a strategy is well executed and centered on the company's most important asset, its customers. While cost containment and inventory management were critical, there was equal focus on our brand proposition and the customer experience. Collectively, these initiatives transformed our business. And we are now a structurally more profitable and efficient company as demonstrated by these results and the momentum is continuing. As such, our guidance has been increased to reflect the upside. Revenue growth for fiscal year 2010 is now expected to be in the range of 6% to 9% and diluted earnings per share in the range of $1.39 to $1.48. I really have to commend the entire management team for having the ability to drive the performance that we've seen over the past several quarters. But particularly, Laura and Sharon, for their extraordinary leadership during these unprecedented times. I could not be more proud of what these teams have accomplished. I'll now turn the call over to Sharon to discuss the details of the first quarter.
Sharon Mccollam: Thank you so much, Howard. Good morning, everyone. Our first quarter performance once again substantially exceeded our expectations. The P&L highlights were as follows: Net revenues increased 17% to $718 million; retail net revenues increased 15%, including a comparable store sales increase of 17%; direct-to-customer net revenues increased 20%, despite catalog and paid circulation reductions of 3% and 4% respectively; Internet revenues were up 24%; non-GAAP diluted earnings per share were $0.23 versus a loss of $0.14 last year. These results were above both the high end of our guidance and the first call consensus estimate. Stronger-than-expected sales and greater-than-expected full price selling drove these better-than-expected results. GAAP diluted earnings per share were $0.18, including a $0.03 charge associated with underperforming retail stores and a $0.02 charge associated with CEO retirement expenses. Non-GAAP gross margin increased 770 basis points to 37.8% in the first quarter. This improvement was driven by reduced markdown activity, sales leverage of fixed occupancy expenses, a 40 basis points improvement in replacements and damages expense and an actual decrease in occupancy expense dollars. For the quarter, our non-GAAP occupancy expense was the lowest in four years. And we have increased our permanent store closings this year from 14 to 18. And finally, non-GAAP SG&A expense decreased 200 basis points to 31.9%. This decrease was primarily driven by sales leverage of fixed SG&A expenses, partially offset by increased incentive compensation, Internet advertising and other general expenses. From a balance sheet perspective, first quarter year-over-year highlights were as follows: Cash and cash equivalents increased over $300 million to a Q1 record of $405 million; merchandise inventory decreased $46 million or 8% to $502 million; and the historical comparison to put this reduction in perspective on a similar revenue base to Q1 2005, we are operating with 4% less inventory despite having 58 more stores and 29% more retail lease square footage. Prepaid expenses decreased $23 million to $38 million, primarily driven by a reduction in prepaid income taxes. And Accounts Payable increased $48 million or 37% to $178 million, primarily driven by the timing of merchandise receipt late in the quarter. I would now like to briefly discuss our second quarter and fiscal year 2010 guidance. Based on our strong first quarter results and the ongoing momentum we are seeing today, we are incorporating all of the upside we saw in the first quarter into our full year guidance. We are also conservatively increasing our second quarter guidance. In the second quarter, net revenue growth is now expected to be in the range of 9% to 12% versus previous guidance of 4% to 7%. And non-GAAP diluted earnings per share is expected to be in the range of $0.16 to $0.20 versus previous guidance of $0.08 to $0.12 per share. For the third and fourth quarters, we are waiting to update our guidance until our next earnings release in August, so that we have more visibility to the sustainability of the trends that are driving our results today. We continue to believe that there is risk of volatility in the economy over the next several quarters, as consumer spending begins to compare against significantly higher numbers in the back half of 2009. So in total, our updated full year guidance will be as follows: Net revenues are now expected to increase in the range of 6% to 9%; non-GAAP diluted earnings per share are now expected to be in the range of $1.39 to $1.48 per share versus $0.95 last year, and that includes $510 million of occupancy expense; and GAAP diluted earnings per share, including $0.06 of unusual business events, is now expected to be in the range of $1.33 to $1.42 versus $0.72 last year. From a balance sheet perspective, we're maintaining our fiscal year-end inventory guidance in the range of $470 million to $ 515 million and holding our annual capital spending guidance at the high end of our previous range at $75 million. I'd now like to turn the call over to Laura to discuss the performance of our brands.
Laura Alber: Thank you, Sharon. Good morning. As Howard said earlier, the momentum we are seeing in our business today is very encouraging. In our core brands, net revenue in the first quarter of 2010 increased a better-than-expected 19%. Pottery Barn saw the greatest improvement, closely followed by Pottery Barn Kids. In our emerging brands, including west elm, PBteen and Williams-Sonoma Home, net revenues increased 11%. In the Williams-Sonoma brand, net revenues increased a better-than-expected 8%. Comparable store sales increased 11% and selling margins continue to rebound towards historical levels. From a merchandising perspective, we saw strong growth across several categories, with particular strength in cookware, cook tools and electrics. We also saw a better-than-expected consumer response to our seasonal assortment for Valentine's Day and Easter. As we look forward to the second quarter and balance of the year, we will continue to execute against those initiative that are driving momentum in the business today including new and exclusive product introductions, strategic price points and targeted promotions and innovative marketing strategies, particularly in the areas of e-commerce, social media and in-store events. All these initiative are driving new customers to the brand and affirming the brand's authority as a premier destination for high-quality cooking and home-entertaining essentials. In the Williams-Sonoma Home brand, we continue to make progress on the restructuring. And as expected, we are successful in reducing the brand's year-over-year non-GAAP operating loss by approximately $0.01 per diluted share in the first quarter. Aggressive inventory management and strong expense controls drove these improved result. Remaining assets on the balance sheet at the end of the first quarter were $13 million, including $8 million of inventory. In the Pottery Barn brand, net revenues in the first quarter increased a better-than-expected 25% versus a 26% decline last year, with ongoing momentum in both the retail and direct-to-customer channels. Comparable store sales increased 23%. From a merchandising perspective, all key categories, particularly furniture, textiles and decorative accessories delivered strong growth. We also saw a robust consumer response to our seasonal theme. From an operational perspective during the quarter, gross margin continue to improve due to the cumulative benefits of our inventory management and supply chain initiative. We are particularly encouraged by the success of our Asian sourcing initiatives as we improve quality, develop exclusive design and partner with our vendors to control cost. We see this as a significant competitive advantage and barrier to entry for the competition. In the direct-to-customer channel, we have continued to shift our investment from marginal catalog circulation to Internet marketing, which is driving incremental growth and new customer acquisition. Our new e-commerce platform continues to deliver significant benefits as we gain more expertise in utilizing its flexibility in-site merchandising, optimizing natural search and further engaging the brand in social media. As we look forward to the second quarter and the balance of the year, we see great opportunity to gain market share by capitalizing on the initiative that have raised our performance to the levels we are seeing today. As such, we will continue to provide great products at a great value and expand into merchandising categories where we see opportunities in the marketplace. We will also continue to improve the customer experience through in-store clienteling and enhanced functionality on the website. E-commerce is our fastest growing and most profitable channel across all brands. And as a company, we are identifying new opportunities to build brand awareness and customer engagement through search e-mail modeling, affiliate program and enhanced functionality. Now I would like to talk about Pottery Barn Kids. During the first quarter, net revenues increased a substantially better-than-expected 21% versus the decline of 27% in the first quarter of 2009. E-commerce sales were particularly strong, but were offset by a 9% reduction in retail lease square footage. Comparable store sales increased 23%. From a merchandising perspective, all key categories, particularly textiles, furniture and decorative accessories and the all-important nursery category delivered strong growth. We also saw a significantly better-than-expected consumer response to our newly-introduced entry price point assortment and value-messaging initiative. From an operational perspective during the quarter, a strong inventory management and promotion strategy, coupled with significant cost reductions in the supply chain, drove a substantial year-over-year improvement in gross margin. We also saw a significant improvement in our store operating expense structure due to strategic store closings and benefits associated with labor scheduling. As we look forward to the second quarter and the balance of the year, the foundation of our growth strategy is great products at a great value, and we are continuing to expand this assortment to attract new customers to the brand. We are also leveraging the late 2009 launch of our new e-commerce platform and database marketing tools to enhance the relevancy of our customer interaction and make social community an intrinsic part of our online experience. I would now like to talk about the Pottery Barn Teen brand. Pottery Barn Teen continues to be the best performing brand in the company as net revenues increased a better-than-expected 22% versus only a 17% decrease last year. Selling margins were also ahead of expectations. From a merchandising perspective, we saw high teens or better growth across all major categories and new entry price point products continue to be both top sellers and new customer acquisition vehicles. As we look forward to the second quarter and the balance of the year, we will continue to drive profitable growth through the introduction of entry price points, expand our assortment and make social community a key aspect of the brand experience. Finally, I would like to talk about west elm. During the first quarter, we saw a substantial improvement in the performance of west elm on both the top and bottom lines. And we continue to be encouraged by the impact we are seeing from small changes in the areas of merchandising and visual presentation. All key product categories, particularly textile, furniture and tabletop, delivered strong growth during the quarter. A strong consumer response to the early rollout of our value and promotional strategies also contributed to these better-than-expected results. As we look forward to the second quarter and the balance of the year, there are several strategic and tactical initiative that we believe can meaningfully accelerate the growth and profitability of the brand. These initiatives include broadening the aesthetic to appeal to a wider range of customers, increasing the penetration of opening price points, expanding the non-furniture assortment to rebalance the product mix and enhancing customer engagement through warm and inviting multi-channel lifestyle marketing. We will also continue to take advantage of the opportunity to rationalize our retail footprint. While our long-term strategy for this brand is to expand our retail store base, we have locations that have been greatly impacted by the recession that continue to be a challenge. And as such, we are expecting to close an additional two stores between now and the end of the year. We believe all these initiatives will allow us to improve our competitive positioning and profitably grow the west elm brand over the next several years. Before I open the call for questions, I would like to congratulate Howard on his retirement. It is his vision and inspiration that have made this company great and the strong culture that he has built that will keep it vibrant. I would now like to open the call for questions.
Operator: [Operator Instructions] Our first question today will come from Matthew Fassler with Goldman Sachs.
Robert Higginbotham - Goldman Sachs Group Inc.: It's actually Robert Higginbotham in for Matt. A question on merchandising margin. I may have missed it. Forgive me if I did, but could you give us a sense of what your merchandising margin improvement was for the quarter? And as part of that, maybe let us know if that was above, below plan, and as you look at that result, does that change at all your, kind of, longer-term expectations for a operating margin potential?
Sharon Mccollam: Robert, our improvement in the gross margin, you're talking about the selling gross margin I assume. And that was an approximate 250 basis point improvement. It was clearly the reduction in markdown activity was significantly better than we expected. The reasons we beat this quarter was twofold. It was the stronger topline sales, and then secondly, the selling margin was better than we hoped. It's still not yet -- as we look at the year, we still don't see the year at peak levels. But we are getting, in Q1, we are getting very close to peak levels or exceeding those for different reasons, most of it comes from supply chain. So we are feeling very good and very confident in our ability over time to recover our historical selling margins. This is the first quarter where we've really seen this level of improvement, and it's very encouraging for all of us.
Operator: Our next question will come from Matt Nemer with Wells Fargo Securities.
Matt Nemer - Wells Fargo Securities, LLC: I just wanted to ask about the Internet sales growth. Could you comment on whether that's coming from traffic or conversion? And then as a follow-up, can you remind us what your plans are to integrate the websites with the stores, i.e. ship to store, return to store, et cetera?
Sharon Mccollam: I'm going to let Pat take the questions. Pat, would you like to speak to the Internet please?
Pat Connolly: Matt, we've had good success across all aspects of the web, both traffic and conversion. And in terms of -- and we're very pleased especially with some of the Internet marketing efforts that Laura alluded to in her prepared remarks. We see continuing opportunity ahead of us there. And we are looking at a number of initiatives regarding how we can further integrate the web with our stores and utilize our customer data to help our associates do a better job of serving our customers. We've already got some of these initiatives in place and we're seeing some very good results from them.
Operator: Next we'll hear from Alan Rifkin, Bank of America Securities.
Vincent Sinisi - BofA Merrill Lynch: This is Vincent Sinisi in for Alan. My first question is dealing with the customer improvement that you're seeing, both from basically across-the-board. Sharon, do you have any color whether those customers are coming from existing accounts, are they coming from your house file? Or are you seeing new customers entering the stores?
Sharon Mccollam: They're coming from both. And I'd like to let Laura speak to the strength of the growth of our house file because we've had some very impressive numbers. So Laura, would you like to speak to that?
Laura Alber: We have been extremely focused on our customers, both new customers, retained customers, reactivated customers, and we've put a lot of strategies in place to drive these results. And we are seeing improvements, particularly in the Pottery Barn brands with all metrics. But across all brands, we are also seeing new customers come both into retail and our direct-to-consumer channels. And it's great, it's just great news for the future because the more customers we have on the file, the better able we are to profitably mail them in the future.
Operator: Budd Bugatch with Raymond James and Associates has our next question.
TJ McConville: This is actually TJ filling in for Budd. First, is to the inventories, I know last quarter, we talked about how there was a shift going on from furniture to non-furniture categories. I think, Laura, you talked about that a little bit in your prepared commentary. How far are we through that process and how much further is there to go is one question. Another question is on the direct channel in the Catalog business. It looks like you took out the guidance for the catalog circulation for the second quarter. What was it that caused that change? Have you cut into a little muscle here with some of the recent reductions and any comments you have there?
Sharon Mccollam: Let me speak first to your question, TJ, about the furniture to the proportion of our total sales. Actually, we have not seen a significant change in that as a percentage of total company. We've been running around 29%. We are just slightly above that, getting closer to 30%. But we're in that 29% to 30% range. So there is not a shift, as far as our total company revenues away from furniture. I think when you go back to the prepared remarks that we had in Q1 or in the fourth quarter, that the comment that Laura made is that we are not wanting to grow the mix of furniture. It is not that we are seeing the furniture that we currently offer to the customer become less proportional as a percentage of our mix, so as a total company. So then, I'll let Laura speak to the strategies of catalog circulation because the majority of those changes are actually in the Pottery Barn brand.
Laura Alber: We had a very robust and thorough process to look at each mailing every single month. And the earlier comments I made about new customers and better customer performance allows us to mail more catalogs profitably. And it's very exciting. We're also seeing great response to our smaller mailers. We put in the mail stream some smaller mailers, the PB Dorm, the gear guide, and those allow us to reach more customers more profitably. And we're very, very excited about the long-term potential of that strategy as well.
Sharon Mccollam: And TJ, it's important to note that when you're looking at page circulation, which is what we guide, I'm sorry, catalog circulation, we don't guide page circulation per se, and you've got to remember that every one of those books we put in Home gets treated as a catalog, and all catalogs are not equal.
Operator: Next is Kate McShane with Citigroup.
Oliver Chen: It's Oliver Chen on behalf of Kate McShane. Our question was about the near term global macroeconomic events and the stock market volatility. Do you think it will have an adverse impact on future spending patterns and the psychology of your customers and if there's a correlation in your view? And our follow-up question was related to gross margins at the back half, other companies are speaking view potential sourcing transportation inflation, and it looks like you're up against 500 basis points of a tougher comparison versus guiding through on 400 in second quarter. Is there anything we should know about modeling, that in the back half? Will occupancy dollar declines, which are very impressive, give decline a potential offset?
Sharon Mccollam: Okay, let me speak to our perspective on the macro environment. As we said in our prepared remarks, we do continue to believe that as we come up against the higher consumer confidence numbers in the back half of the year and which equated to higher consumer spending in the back half, we are continuing to be cautious. We put this cautious guidance out there in March, and we're holding that guidance for the very reasons that you are speaking to. The volatility in the stock market was going on in Europe right now. It's weighing on people's mind. It's infiltrated in the news. It's everything you see and what you hear about. So we, in no way, are taking what we are currently seeing and saying that we believe that the consumer is all better. So we want to continue to maintain our cautious outlook. We have done so in this guidance. And obviously, I think what we are proving is that where there is opportunity for higher sales, that our inventory management, our chasings of inventory, et cetera, are effective in allowing us to capture those sales. So we feel very good about our strategy toward remain cautious, chase into it, keep the profitability moving forward. As it relates to the margin improvement in the back half, you were speaking to the fact that we had a high margin, a big, large improvement in 2009. And now we got guidance out there. And it indicates some improvement coming into it. I'm going to let Laura speak to this because working on the supply-chain issues and risk vendors has been a key priority for her in the supply chain team. And Laura, why don't you talk about it and because we've had a lot of success there and I'd like you to share some of the things we've done and how you're feeling about the back half.
Laura Alber: Just go back a little bit, over the last 18 months, we have been very focused on driving strategies that our customer centric to engage our customers to give them better value, to give them better quality, to give them differentiated design. And it's clear that despite the recession, people are noticing the differences that we've made. And they are responding to us. I think a lot better than they're responding to others in the same business that we're in. And so, we're going to continue on that focus. And we are very cognizant, as Sharon said, about what's going on in the macro environment. And we are staying really on top of all these issues, competitive pricing, making sure that in our stores, we have the best service that we engage our customers every time we speak to them, whether it's on the phone or in our stores or online, in the relevant tone that appeals to them in this tough environment. And with that, we've really spent a lot of time sharing our concerns and our strategies with our vendors. And working through how do we, together, offer the customer a great value because they do well when we do well. And so they really see that we have reduced our prices in a lot of cases and are enjoying reorders. Now they are seeing increasing cost in raw materials and labor in a lot of markets. And we are talking about that as partners, and how do we combat that and continue to give our customers great prices because we know that the customer does not want to pay more in this environment. So it is a real issue. Where we're able to offset it is we're working on a big packaging initiative to reduce the inefficiencies of overpacking. It's very important that the product gets there safely, but in some cases, we probably overdid it. So Dean Miller and his whole team have been working very closely to look at where are there opportunities to improve packaging and reduce costs. We are also continuing to see improvement in returns and replacements, which helps us reduce the cost that potentially may be increasing in raw materials. And there's a whole myriad of other initiatives that we are working on, on our supply chain that are making a big difference. We're moving into our new building in June, which is going to give us efficiently. We're doing a better job with cartonization, so that we reduce our carton pricing out the door into our retail stores. All this work we've done on our hubs and taking control of our supply chain and looking for opportunities to reduce costs while improving service are really paying off. So we are cognizant that we have an uphill battle on costs, particularly out of Asia. And those are the different things that we are doing to make sure that we continue to give the best value to our customers.
Operator: [Operator Instructions] Next, we'll hear from Brad Thomas, KeyBanc Capital Markets.
Bradley Thomas - KeyBanc Capital Markets Inc.: I wanted to follow up about margins and just try and look at it from a bit of a bigger picture standpoint, in the past, you all been very helpful at putting the margin outlook into context. When we look at the first quarter results, I mean, by my estimates, it looks like you're just only 20 basis points shy of your historic first quarter peak numbers from a margin standpoint. Given this backdrop where sales seem to be accelerating, there seems to continue to be more opportunities to selectively reduce costs or improve supply chain, how should we think about that margin potential going forward? And could we surpass peak margins later this year?
Sharon Mccollam: Let's just get Q1 in perspective. We still have this substantial occupancy deleverage coming from our peak years. What are you using as your peak year when you say 20 basis points versus your peak year? Because we are not within 20 basis points of our peak margin, selling margin ever. So that's beside the point. As we look at the occupancy, we still have about 300 basis points of deleverage in occupancy. And obviously, we know how the model works. We're working on it coming from two sides, increased sales, of course, leverage that rate. In addition to that, we're also working on continuing to lower the occupancy. So we are working on that and coming from both ways. So as we continue to make progress there and as I've mentioned in my compared remarks, we are being successful in reducing our number of stores. We do have 58 more stores than the peak year that we operated, and all of those have inventory and all of those have occupancy. So we're working through that and we'll continue to work through that. We'd like to work through it by going with the sales side, it's working very nicely for us. We prefer that but we'll continue to optimize the store base, and that will be helpful as well. In the cost of goods side, even in Q2 if you look at the guidance, it is conservative, and no one said yet, but I know you're all thinking it. And we agree with you. The margin that we saw in Q1, we did not guide into Q2 that kind of benefit. We do think that we need to stay cautious and we do think that we need to recognize that there are bumps in the road. You guys had your big bumps, thousand basis point bump. And we are conscious of the fact that this news with Europe and everything is affecting the consumer. So we're just going to stay cautious, keep doing what we do, and we think that there is absolutely runway in front of us to improve it when it come this year. Laura mentioned it, these supply chain benefits that we continue to execute these strategies, the benefits continue to come quicker than we anticipated, whether you're talking about Asian sourcing or you're talking about cartonization, the benefits from the regionalization of separate ship or the in-sourced hubs. Everyone of us is delivering better-than-expected and more rapid-than-expected benefits than we guided originally. So those will offset some of these costs that are coming. And we feel very, very good about the guidance that we have out there right now and do agree and understand why some of you would believe there would be upside.
Operator: And next, we'll hear from Chris Horvers, JPMorgan.
Christopher Horvers - JP Morgan Chase & Co: Following up on the margin question, Sharon, can you talk about the relative margin or flow-through of the dollar of sales in retail versus DTC and then how that may shift as you think about an Internet sale, inclusive of advertising costs?
Sharon Mccollam: Well, the retail model is in the lifecycle of the retail model. Right now, on a retail sale, it's different between stores. Some stores, you have percentage rents and in some stores, you're operating at minimum payroll already, which means that you don't have incremental payroll for increased sales. And then at times, you are over the minimum, which means you have to add payroll. So when you think about a retail sale, I know you'd like a simple answer, you'd say there it can just flow through to the bottom line. Generally, they will be on the average, some additional costs that comes from rents and from payroll in the stores. That would be your general consensus. In the case of the Internet, it depends on how that sale is derived to the Internet. But in general, you can pretty well assume that the cost on the back end has sustained as any other sale, but it's the acquisition costs that is lower. So it is going to be by far your most profitable sale. But at this point, what we're focused on is capturing market share, what channel the customer buys in is their choice. We wanted to be their choice. We prefer of course the Internet sale because it's so much more profitable. But as we go forward, we want the customer to pick our brands and capture market share, and that's what we'll focus on with our advertising dollars.
Operator: And next, we'll hear from Neely Tamminga with Piper Jaffray.
Neely Tamminga - Piper Jaffray Companies: Sharon, could you, similar to Chris' question, just in case you guys are really good about giving some segment profitability, I'm just wondering if we can get a little sneak peak as to what that might look like on an EBT basis for retail versus direct-to-consumer before unallocated. It seems like the numbers we saw today are implying maybe double-digit, low-double-digit profitability on that basis for those two divisions. Am I barking up the right tree?
Sharon Mccollam: Neely, we generally wait until we actually issue the Q to put out those numbers. So what I like you to do is just give us a couple of weeks get all the allocations put out there and we'll release it in the Q. But I understand the nature of your question and going forward, I think it's something that we should thinking about getting to you guys earlier because I know your models have not been broken down by channel, many of you. So we'll make sure that we do that going forward.
Operator: Our next question will come from David Magee, SunTrust Robinson Humphrey.
David Magee - SunTrust Robinson Humphrey Capital Markets: My question also has to do with the Internet. As you look forward over the next several years, that part of business has grown so much so fast. How do you get your arms around it? What the potential will be for that over, say, a three-year period?
Sharon Mccollam: Pat, would you speak to that please?
Pat Connolly: David, we see a lot of potential over the next several years for us there. And others have said that the home furnishings in our segment is underpenetrated compared to other merchandise categories, and therefore, casting that Internet sales of home furnishings and related product online will go from about 9% to almost 14% by 2014. We certainly want to get our share of that. Internet retailer has us at about 24% market share now. So we see a big opportunity there. We mentioned earlier and Laura and Sharon have both alluded to the marketing efforts, and we think that we are very strong competitively in terms of our Internet marketing. But I would also not -- it would be good to point out how strong the back end of our process is. We can get the sale but we have some really differentiated advantages in our supply chain in terms of getting that merchandise, which is frequently bulky, to our customers. We've got our East and West Coast DCs. We have a 25-, 30-year heritage in terms of filling direct orders, which I think will further allow us to differentiate ourselves from others in the market in the years ahead.
Operator: And next, we'll hear from Joe Feldman, Telsey Advisory Group.
Joseph Feldman - Telsey Advisory Group: Can you guys talk a little bit about what you've been doing lately to drive the reduction in the returns and damages? I mean, that was a really terrific results, Sharon, with that 40 basis point improvement there, and maybe you could just give us a little update as to what's going on there?
Sharon Mccollam: The key to it is the quality benefits that we are deriving from our Asian sourcing. The second thing that we are seeing is that these regionalization of separate ship is allowing us to not have to move the inventory so frequently. Therefore, we're seeing incremental benefit from that. I think we have talked about that a lot at your conference about how by not moving the inventory so many times we can improve the quality. The insourcing of our hubs has been another major source of this. When we are handling the furniture inventory all the way up until the point to put on the delivery truck, the numbers are just really so compelling. And that's why we are doing so much insourcing. So those three areas are really the primary areas that we are seeing those benefits. I think that culturally, I think, Joe, honestly, that every single step in our supply chain is being engineered for returns, replacements and damages. And we just keep taking one piece at a time, taking small steps, implementing it, perfecting it, then taking the next step. And because of that, it is sustainable and it continues to be incremental.
Operator: Next, we'll hear from Scot Ciccarelli, RBC Capital Markets.
Austin Pauls: This is Austin Pauls, sitting in for Scot today. You mentioned that payrolls are at base levels in some of your stores. As the momentum in your business continues to get better, is there a point at which you will think about increasing your in-store spending to accommodate the higher traffic levels in your stores?
Sharon Mccollam: Yes, and No. I want it to be clear, and I'm going to let Laura speak to this. The answer is yes, we are running minimums, we run our payroll as a percentage of sales. But we have to say that we made some major structural changes and we received great benefit from labor scheduling tools that we gave to our stores. And as a result of that, we substantially lowered our payroll versus the '05, '06 time frame. Now, Laura, would you speak to the strategy as it relates to store payroll, please?
Laura Alber: Sure. As Sharon said, we gave the store managers new tools to help them better plan their payrolls. But it is still totally within their responsibility, which makes it so great because they are thinking about the customer and running their store like a shopkeeper. They are looking at their sales trends. They are looking at what's going on in their local community and putting on payroll where they see opportunity. Of course, there's a minimum amount and then incremental sales don't cost as much as just staffing the store just the first time. So you get more leverage on the upside. But they do such a good job in a very entrepreneurial way in making the bet. We reward them for it. We encourage them to always service the customer. And I think it's one of those things that we did differently than others. We cut the payroll but we didn't cut the service. We actually added events in the stores. And we have a culture, a very, very strong culture in supporting our stores and giving them great tools to do the right thing, and we're seeing that really pay off. So rest assured, we're very aggressive and supportive of our store teams in adding payroll as we see traffic levels improve.
Operator: Our next question will come from Christian Buss with Thomas Weisel.
Christian Buss - Thomas Weisel Partners Equity Research: I'm wondering if you could provide an update on the DC initiatives you have underway? And if you could quantify the benefits that it's providing, I'd appreciate it.
Sharon Mccollam: Laura, why don't you speak to the DC initiatives that we have happening currently and then...
Laura Alber: Sure. We mentioned earlier, we are looking at everything in our supply chain, from transportation, distribution, our furniture, upholstery, manufacturing, our call centers, our packaging and in every single area, we're seeing improvements. And we are putting together strategies to continue those improvements beyond this year into the future. And we're lowering the costs and we're improving sales. So Sharon mentioned some of them. We've in-sourced our hubs, we've improved our cartonization and our CMO building, our cartons are actually down 9%. We have driven retail freight savings due to this consolidation. We're doing a better job with shrink across our distribution centers. We are consolidating buildings, you've have heard about us getting out of square footage and consolidation. And the consolidation gives you better quality because, as Sharon mentioned, you don't need to move the goods as frequently. Furniture upholstery factory is producing record numbers, which is driving returns down and improving the value equation to our customers, and we continue to see just acceleration in that plant. Our call centers are doing a great job, not only servicing the customer when they call in, but doing outbound, sales-driving calls, and we're generating incremental revenue because we're being more assertive and just more customer-friendly as well in calling customers back and letting them know when we have something that we know they would like to buy. And then I mentioned earlier and I'll say it again, our packaging cost reduction initiative, we're looking at SKUs across all of our brands to redesign, and we believe that we will continue to see savings based on this initiative into the future.
Operator: Our next question will come from Avery Sheffield with Bernstein Research.
Avery Marie Sheffield: This is Avery, filling in for Colin McGranahan. Before, you mentioned that some stores have a portion of rent expense type sales. I'm curious if you can provide any insight regarding the general percentage of stores that have that cost in the right contracts? And how this impact the seasonality of occupancy cost trends for the year? Most importantly, how much better than expected top line could impact expected occupancy costs into the leverage for the year?
Sharon Mccollam: Avery, we don't release the details regarding our rent arrangements with our landlords, which we believe is appropriate. We have said historically that we do not see major changes. As far as your models go, there is not a major, major change in our occupancy expense by quarter. You'll, of course, get bigger in Q3 and bigger in Q4. But it is not so material that it is something that we feel that we need to call out or something that I think you need to majorly change your model over. So there's some costs there but it's not huge. It's not going to change your forecasting within a range, let me put it that way.
Operator: Michael Lasser with Barclays Capital has a question.
Tiffany Wade: This is Tiffany Wade, on for Michael Lasser. My question is about the sourcing initiatives. I'm wondering if you can talk about where you are in terms of these initiatives across the brand? Which ones might have the most opportunity left and perhaps what the timing is around these improvements?
Laura Alber: Sure. You said sourcing?
Tiffany Wade: Yes.
Laura Alber: Great, it's Laura. We've been looking at opportunities in all of our brands. The one that has the most future opportunity is west elm. We've just begun our initiatives to give better value in west elm to our customers and we are in the process of re-engineering, redesigning, repricing our products in Asia. And so you'll see the biggest improvement there to come. In the Pottery Barn and the Kids and Teen brands, we asked ourselves this question, how much more is there? We know this, we know our customer knows great value. And a large percentage of our sales are coming from our opening price points. And so you're going to continue to see us add opening price points, beautiful products, well-designed, that the customers are inspired to buy, but with great prices that they can afford. And so you are going to continue to see us add more in Pottery Barn and Pottery Barn Kids and Teen, even though we've made a lot of progress so far.
Operator: Next, we'll hear from Laura Champine, Cowen and Company.
Laura Champine - Cowen and Company, LLC: Congratulations on your sales momentum, and we clearly see that in the comp, as well as the DTC business. Also, I'm cognizant of your cautious, more macro outlook, but what are you seeing right now in the malls, not just at your stores but in those locations in general? Is the customer mood and traffic trends improving or decelerating so far this year?
Sharon Mccollam: Laura, would you like to speak to that, please?
Laura Alber: Sure. I think good retailers are doing better. People who have exclusive, engaging and inspiring product lines are doing better, and those that didn't make the adjustments are not. And so we are seeing, in our stores, that the customer is very inspired to come in. And recession or no recession, they love their homes, and we give them an environment when they come into our stores to make them feel happy and to help them, whether it's throwing that dinner party or redecorating their family room or setting up a new home office. We've given them inspiring products to meet their needs. And as we go to malls, you see some stores that are really busy and you see some that are ghost towns. And I think it's all dependent on how assertive the management has been in addressing the changing needs of the consumer.
Sharon Mccollam: And I think that, Laura, when you think about the quarter last year, this is the quarter where the consumers' confidence started building. So if you are asking us at this very moment based on our current momentum and trends, we absolutely are seeing a very strong business right now. And in order to deliver the guidance that we have out there, what we are assuming is that we're going to come up against tougher numbers in the next two months of the quarter, and that we would see a tougher compare. Therefore, we would see a deceleration. That's how we planned it. If it continues, this is where we get into the question about the conservatism of the guidance. It all does depend on what you believe about the macro. From an execution point of view and from a consumer response to the assortment that we have out there, our numbers should be fantastic. The question is what happens with the consumer as we come up against these tougher numbers, and that's why the more conservative guidance.
Operator: Next, we'll hear from Jennifer Milan, Sterne Agee.
Jennifer Milan - Sterne Agee & Leach Inc.: We've been hearing other retailers talking about, and it sounds like this didn't happen in your business about kind of a fall-off at the end of April and some of the others in your space talking about with respect to seasonal products, some pull forward from the 2Q. And I was wondering if you can talk a little bit about your performance in the seasonal products and to what extent you think that might be the case? And also, how you're thinking about the elimination of the homeowners tax credit going forward or later in the year?
Sharon Mccollam: As far as our business goes, the April issue, coming off of April, you have the issues with the Easter ship, and we've heard a lot of this. And honestly, we think that you have to look at the business on more than a four-week basis, and that's why we don't release monthly comp. But as far as the business is going, like we said, we are still seeing that momentum at this current point in time, and we have not seen the trends that you're referring to. That is not something we're currently seeing in our business.
Laura Alber: And different than apparel, we have Easter. But then, we introduced our outdoor furniture in a big way and we are seeing great response to our outdoor furniture collections, which is really exciting and carries us through the summer and all the holidays. And it seems that the customers is really celebrating the holidays again. They're very important to them. We had great assortments for Easter and we are going to have incredible assortments for the back half as well. Sharon, do you want to talk about the elimination of the homeowners tax credit and the impact to our...
Sharon Mccollam: The homeowners tax credit, of course, is inspiring turnover in the home market. And it's hard for us to predict what that will look like. A lot of those tax credit, however, are going to first-time homebuyers or buyers that have not bought homes in an extended period of time. Therefore, that is probably a -- there is certainty a customer that would be shopping our brands that might be benefiting from that. But in general, I would suspect that a lot of those sales are going to some of the lower-end home furnishings retailers as opposed to coming into our brands.
Operator: And that does conclude our question-and-answer session. I will now turn the conference over to Laura Alber for any closing or additional remarks.
Laura Alber: Thank you. Thank you for joining us for the Williams-Sonoma First Quarter Fiscal 2010 Earnings Conference Call. We appreciate your time and continued support, and we'll talk to you next quarter. Have a great day.
Operator: And that does conclude our conference call. Thank you for your participation.